Operator: Good day ladies and gentlemen and welcome to the Cabot Microelectronics First Quarter Fiscal 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question and answer session and instructions will be given at that time. [Operator Instructions] I would now like to turn the call over to Ms. Trisha Tuntland, Director of Investor Relations. Ma'am you may begin.
Trisha Tuntland: Good morning. With me today are David Li, President and CEO, and Bill Johnson, Executive Vice President and CFO. This morning we reported results for our first quarter of fiscal year 2017, which ended December 31, 2016. A copy of our earnings release is available in the Investor Relations section of our website, cabotcmp.com, or by calling our Investor Relations office at 630-499-2600. A webcast of today’s conference call and the script of this morning’s formal comments will also be available on our website. Please remember that our discussions today may include forward-looking statements that involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from these forward-looking statements. These risk factors are discussed in our SEC filings, including our report filed on Form 10-K for the fiscal year ended September 30, 2016. We assume no obligation to update any of this forward-looking information. Also, our prepared remarks this morning referenced non-GAAP financial measures. Our earnings release includes a reconciliation of GAAP to non-GAAP financial measures. I will now turn the call over to David.
David Li: Thanks, Trisha. Good morning everyone and thanks for joining us. This morning we announced strong results for our first quarter of fiscal 2017 as we achieved record levels of revenue and profit for the second consecutive quarter. Our performance reflects strong semiconductor industry demand and the continued successful execution of our strategic initiatives including continued momentum from last year in three key product areas, CMP slurries for polishing tungsten, dielectric slurries, and CMP pads. During the quarter, we realized record revenue of $123.3 million, approximately 23% higher than the same quarter last year. Our gross profit margin was 49.9% of revenue and we achieved record diluted earnings per share of $0.88, which represents an increase of approximately 91% compared to last year. In addition, we continued our strong cash flow generation trend with cash from operations of $25.1 million. Bill will provide more detail on our financial results later in the call. To provide some context for our first quarter results, let me first offer some perspectives on the global semiconductor industry environment. As forecasted by several of our customers and industry analysts, industry demand was solid during the December quarter and our results are consistent with this as well as the expectations we discussed during our fourth quarter conference call in October. You may recall that at the end of the September quarter, most IC inventories related to smartphone, wireless, network, automotive and gaming markets were at lean levels. As a result of this, demand for our IC CMP consumable products remained healthy through the quarter which historically has seen seasonally softer conditions. Now, exiting the December quarter, industry reports and comments made recently by some of our strategic customers suggest that foundry and logic inventories maybe slightly elevated, due to some seasonality and mobile areas. Conversely, other reports suggest that memory inventories, particularly 3D NAND and DRAM are lean due to robust end demand including the continued proliferation of solid state drives and tight production capacity. Industry analysts generally hold a strong outlook for the semiconductor industry for the full year, but based on these near-term views, industry expectations are for a minor inventory correction for some ICs during the March quarter, which is historically seasonally soft. Since our companies supplies virtually all semiconductor manufacturers in the world, we believe we are well positioned for success even with differing near-term demand conditions across the foundry, logic and memory segments. Later in the call, Bill will provide commentary on our expectations for demand for our IC CMP consumable products during the March quarter. Transitioning to a longer-term view, two weeks ago, our company attended SEMI’s Industry Strategy Symposium in California. This annual event early in the calendar year represents a great opportunity to compare views with other industry participants. The theme of this year’s conference was growth within a changing landscape and amidst new opportunities. With the overall industry sentiment expressed at the event, decidedly bullish for 2017 and beyond. Discussion at the conference highlighted two particular areas. The first is how industry consolidation among device makers, equipment companies, and material suppliers along with efforts to establish a more robust domestic semiconductor industry supply chain in China is changing the competitive landscape. The second area of focus is on growth opportunities, highlighting demand for ICs driven by automotive, industrial automation, and datacenter applications. Participants also predicted a stable demand outlook for consumer devices including smartphones, and additional future growth from the internet of things. In particular, the outlook for memory seems to be strong given the storage required to support the needs for connected devices and relatedly the transition from 2D to 3D NAND. We believe our focused business model along with our broad products and technology portfolio and extensive global infrastructure position us well for continued growth within this expected environment. For example, in fiscal 2016, our revenue grew in the Memory segment by approximately 18% and in China our revenue grew by approximately 20%. Now let me turn to company-related matters. During the quarter we experienced strong demand for our tungsten and dielectric slurries and pad solutions across a wide range of applications and technology nodes. This drove approximately 24% year-on-year revenue growth for the quarter from our IC CMP consumable products. Of particular significance, we achieved year-on-year revenue growth in China of approximately 36% for the quarter. Our strong business position there is notable given expectations for long-term growth in China. Turning to CMP slurries, during the quarter, we experienced robust demand driven by the growing adoption of 3D NAND and FinFET technologies, as well as our leading supply positions in other applications. As we have discussed in the past, 3D NAND and FinFET applications require additional CMP steps in particular tungsten and dielectrics. As a result, we achieved record revenue in our tungsten product area in the first fiscal quarter and year-over-year revenue growth of approximately 25%. Over the years, we have seen sustained revenue growth from our tungsten products, which underscores our continued leadership in and commitment to this important product area. In addition, we achieved significant growth from our dielectric slurries with revenue up approximately 27% compared to the same quarter last year. This was primarily driven by demand for our ceria and colloidal silica-based dielectric solutions for advanced applications. We believe these CMP solutions provide benefits of higher removal rate, improve defectivity and lower cost of ownership. And as a result, during the quarter, we won new business for 3D NAND and DRAM memory applications with our ceria solutions. Across our slurry product areas, we have a strong pipeline of active opportunities around the world covering logic, memory and foundry customers on both 300 and 200 millimeter platforms and we look forward to winning more business with these solutions to drive profitable growth. I am pleased to report that during the quarter, we are only – we were one of only four consumable suppliers and the only CMP supplier to receive an Outstanding Performance Supplier Award from Inotera a wholly-owned subsidiary of Micron, which is now our third largest customer. For the second consecutive year, our company was recognized for demonstrating outstanding performance in quality, technical service, safety, cost and logistics. We are honored to have earned this prestigious award and believe this repeated recognition from Inotera along with the many other awards we have won over the years from a number of other customers are evidence of our long-term commitment to collaborating closely with our customers and our ability to deliver a broad portfolio of best-in-class CMP solutions to the highest standards for quality, performance and technology. Turning to CMP pads, this quarter we achieved record revenue and year-over-year revenue growth of approximately 54%. This was driven by continued strong pull for our products including slurry and pad consumable sets. During the quarter, we added to our rich pipeline of new business opportunities, across a wide range of customers and applications and we are working to expand our product offerings. We continue to leverage our global sales channel and technical resources to speed the qualification and adoption of our pad offerings and we continue to experience significantly shorter qualification times than in our prior efforts. As a result, we are confident in our ability to grow our pads revenue from approximately $52 million that we achieved in fiscal 2016 to between $80 million and $90 million in fiscal 2018, fiscal year 2018, which we have previously discussed. In further support of our strategy to accelerate growth in our pads product area and to position our company for sustained growth in China, in early November, we announced the collaboration with Konfoong Materials International or KFMI. KFMI is a privately-owned China-based company specializing in the development and manufacture of ultra-high purity metal materials and sputtering targets for the global semiconductor and integrated circuit industries. The collaboration combines our NexPlanar pad technology with KFMI’s experience in materials manufacturing including their ability to meet the strict quality standards required of the semiconductor industry. Also, this collaboration emphasizes our commitment to provide semiconductor manufacturers in China with reliable, local manufacture of the most advanced CMP pad technology. We are proud to partner with KFMI on this exciting initiative and look forward to updating you in the future on our progress. Looking ahead, I am confident of the continued momentum in each of our tungsten, dielectrics, and pads product areas including CMP slurry and pad consumable sets, which we believe provides a foundation for continued profitable growth for our company. We remain focused on delivering innovative, high-performing and high-quality CMP solutions which leverage our global resources, quality systems and supply chain capabilities. We believe these attributes, combined with our focused business model differentiate us among leading suppliers of specialty materials to the semiconductor industry and position us well to deliver another year of strong performance. And with that, I will turn the call over to Bill for more detail on our financial results.
Bill Johnson: Thanks, Dave and good morning everyone. Revenue for the first quarter of fiscal 2017 was a record $123.3 million, which represents a 22.8% increase from the same quarter last year. The increase reflects continued strong global semiconductor industry demand that we began to see during the third quarter of fiscal 2016. Drilling down into revenue by product area, tungsten slurries contributed 44.9% of total quarterly revenue. We achieved record revenue for the quarter with revenue up 24.5% compared to the same quarter last year. Our tungsten growth was driven by strong demand from both memory and logic applications including 3D memory and FinFET which we are confident will continue to drive profitable growth for our company. Dielectric slurries provided 23.8% of our revenue this quarter with sales up 27.2% from the same quarter a year ago. As Dave mentioned earlier, during the quarter we saw continued strong demand for some of our new higher performing Ceria and colloidal silica-based dielectric slurry products. Sales of polishing pads represented 13.2% of our total revenue for the quarter and increased 54.2% compared to the same quarter last year. Our pads product area achieved record revenue during the quarter. Sales of slurries for polishing metals other than tungsten including copper aluminum and barrier represented 12.8% of our total revenue and decreased 3.5% from the same quarter last year. Finally revenue from our engineered surface finishes area and data storage products represented 4.1% and 1.3% of our quarterly revenue respectively. Gross profit for the quarter was 49.9% of revenue compared to 50% of revenue we reported in the same quarter a year ago. This includes $1.2 million of amortization expense related to the NexPlanar acquisition. Excluding this, non-GAAP gross profit was 50.9% of revenue. Other factors impacting gross profit this quarter compared to last year include higher sales volume, a higher valued product mix, and the higher fixed manufacturing cost including higher incentive compensation expense. Our full fiscal year GAAP gross profit guidance range of 48% to 50% of revenue remains unchanged. This includes approximately 100 basis points of NexPlanar amortization expense. Now I will turn to operating expenses which include research, development and technical, selling and marketing and general and administrative costs. Operating expenses this quarter were $33.4 million, including $0.5 million of NexPlanar amortization expense. Operating expenses were $2.4 million lower than the $35.8 million we reported in the same quarter a year ago, primarily due to the absence of cost related to both our NexPlanar acquisition and 2015 CEO transition and lower clean room materials expense partially offset by higher incentive compensation expense. We continue to expect GAAP operating expenses for the full fiscal year to be between $137 million and $142 million. This includes approximately $2 million of NexPlanar amortization expense. Recall that we typically experience an increase in expenses in the March quarter due to certain factors related to the new calendar year such as merits, salary increases and higher payroll taxes and also cost related to our Annual Meeting in March. Diluted earnings per share were a record $0.88 this quarter or $0.92 on a non-GAAP basis excluding the NexPlanar amortization, which represents an increase of 91.3%, compared to the $0.46 we reported in the first quarter of fiscal 2016. The increase in earnings this quarter was primarily driven by higher revenue and lower operating expenses, partially offset by a higher effective tax rate. Our effective tax rate for the first fiscal quarter was 20.3% compared to 15.5% in the same quarter last year. The increase is primarily related to changes in the jurisdictional mix of our earnings and the absence of last year’s retroactive reinstatement of the research and experimentation tax credit. We now expect our effective tax rate for the full fiscal year to be within the range of 19% to 22%; previously we had estimated 17% to 20% for the full fiscal year. Turning now to cash and balance sheet related items capital investments for the quarter were $4.9 million. For the full fiscal year, we continue to expect capital spending to be within the range of $20 million to $25 million. As we have previously discussed, this includes our ongoing facility expansion in South Korea. Depreciation and amortization expense for the quarter was $6.7 million and we generated cash flow from operations of $25.1 million. We ended the quarter with a cash balance, net of debt outstanding of $151 million. Our strong cash generation model has enabled us to implement a balanced capital deployment strategy including organic investments, dividends, share repurchases, and M&A. As of January 30, our next dividend payable date, we will have paid four quarterly cash dividends, nearly $18 million to our shareholders since the initiation of our dividend program in January 2016. This reflects a payout ratio of approximately 30% of our fiscal 2016 net income and 23% of free cash flow. We believe we are well positioned for continued delivery of significant value to our shareholders in this regard. I will conclude my remarks with a few comments on demand for our IC CMP consumables products. During the first fiscal quarter, we saw a 5% increase in revenue from our IC CMP consumable products compared to the fourth quarter of fiscal 2016. Earlier, Dave talked about general expectations of some industry participants for softer near-term semiconductor industry demand consistent with traditional seasonal patterns. In addition, recall that the Lunar New Year, which begins on January 28 typically introduces some fluctuation in demand around this holiday period. Consistent with all of this, we expect demand for our IC CMP consumables products in the March quarter to be around 5% lower than in our first fiscal quarter. To summarize, from a financial standpoint, we continued our strong performance from the second half of fiscal 2016 and achieved record revenue and profit again this first fiscal quarter. Looking ahead, our expectations are for seasonally softer demand conditions during our second fiscal quarter and the typical increase in expenses due to the new calendar year. However, at present we would expect some generally seasonally strengthening of demand in the second half of our fiscal year. We believe we are well positioned to deliver another year of strong performance in fiscal 2017. Now I will turn the call back to the operator as we prepare to take your questions.
Operator: [Operator Instructions] And our first question comes from the line of Mike Harrison with Seaport Global Securities. Your line is now open.
Trisha Tuntland: Good morning, Mike.
Jacob Schowalter: Hi, good morning. This is Jacob on for Mike.
Trisha Tuntland: Hi, Jacob. How are you?
Jacob Schowalter: I’m doing good. My first question, I guess, you guys mentioned that China did well. Looking at the other geographies, was the performance pretty strong and balanced across or did one performed, better or worse than the other?
David Li: Yes, we saw year-over-year revenue increases in all geographies. China was quite strong, Japan was also quite strong for us. Everything was in double-digit growth except for Europe which was about 10%. We just – I think we wanted to callout China particularly because there has certainly been a lot of attention on semiconductor growth in China. We feel like we are well positioned there. We had strong growth last year and think we are well positioned this year. So it’s something I think it’s getting a lot of attention from the industry and we certainly feel like we are well positioned to grow with China.
Jacob Schowalter: Okay. And then, related to China, the KFMI deal, did your $80 million to $90 million expected revenue for 2018 include any sort of sales boost you are expecting from that collaboration? Or is it already baked into that?
David Li: We haven’t broken out in that detail. I think the $80 million to $90 million by fiscal 2018 was really just an overall pads revenue growth and the KFMI collaboration is something quite new. But we are really excited about it. What we are doing there is bringing our NexPlanar pad technology to KFMI and KFMI is already a well-known supplier to the industry. They supply sputtering targets globally. So they really understand the requirements of the customers and it’s a great way to provide a locally manufactured pad to our customers in China and that’s certainly something that we’ve heard from our customers that they are looking for. So, we are encouraged, but that’s a very early collaboration, but we are also very confident about the pads growth as well.
Bill Johnson: That’s probably a contributor to revenue in sometime in fiscal 2018, not in fiscal 2017.
Jacob Schowalter: Okay. Thank you. Thank you for answering my question.
Trisha Tuntland: Thank you, Jacob for your questions. We’ll take our next question please.
Operator: Thank you and our next question comes from the line of Amanda Scarnati with Citi. Your line is now open.
Trisha Tuntland: Good morning Amanda.
Amanda Scarnati: Good morning. Thanks for the question. So just a quick little clarification. So, David, you commented that you are seeing new products in the pipeline and you are expecting to see continued momentum from tungsten, dielectric and pads. Should we expect this to sort of offset some historic seasonality as these new products are continuing to gain momentum and as the pad business continues to grow and expand or is this sort of continuing on the seasonal patterns that we've seen in the last couple of years?
David Li: Yes, thanks, Amanda. I think what we would say is, we are obviously very confident about and excited about our new products in tungsten and dielectrics and pads continues to grow significantly. If you are talking about the softness related to the January quarter, the industry is forecasting some softness. If you look at what TSMC has said, they are looking at 8% to 10% down sequentially. Bill mentioned what we think about is around 5% lower for our CMP consumables. So there is some – potentially some softness in there, but obviously in the full year, we expect a strong year and continued growth there. So yes, I think to your question is, well it’s completely offset, I think what our comments would suggest is that we are seeing about 5% lower CMP consumables for the quarter, at least that’s from our current advantage point.
Amanda Scarnati: Okay. That helps. And then are you starting to see any sort of ASP pressures typically in the pads business, as you grow that business and as you become a more formidable competitor to DOW, are you starting to see them kind of push back with customers in terms of ASPs? Or is it sort of continuing as it has between you and them?
David Li: Right, so, we are really excited about what we’ve seen from the customers and their adoption of NexPlanar and if you recall the way that we’ve approached customers and why we thought this technology was so compelling to begin with is, it really provides a performance differentiation, it’s not an alternative or a low cost alternative. So – and we are still seeing the lower – shorter qualification time. So, I would say the competitive intensity is about the same as when we first introduced it, we are really pleased with the progress and we continue to grow our pipeline.
Bill Johnson: Just a little more color on that, Amanda. So year-over-year pads revenue was up about 54% and this is the first quarter where we’ve sort of calendarized the NexPlanar acquisition. We acquired that in October 22 of 2015. So now the year-over-year comparisons are almost matched. We are three weeks shy of a full quarter in 2016 and so, most of that growth now is really growth in NexPlanar and as opposed to just the impact of the acquisition.
Amanda Scarnati: Thanks, and then one last question on China's just of continuing on with that. Are you starting to see this as sort of the very early stages of growth in China? If you hear from the CapEx companies, they are saying that China really isn't expected to pick up until 2018. So are you seeing that too that this is early stages of what’s already been in production in China that’s starting to grow versus any sort of new production?
David Li: Right, so, I think you’ve captured it accurately Amanda. The current capacity, installed capacity, whether it’s the domestic players like SMIC or QALY, they are running quite strongly. So we are seeing that consumables used very strong. And then a lot of investments going into China also from domestic and international customers both and that capacity is expected to come online in the next couple of years. So we’ve seen – you’ve seen a lot of CapEx go into China and we expect to see consumables follow that as wafers start to go up in China as well. So, really strong currently with the installed capacity and then the new capacity coming online in the next couple of years as you mentioned.
Amanda Scarnati: Great. Thanks, guys.
Trisha Tuntland: Thank you, Amanda for your questions. We’ll take our next question please.
Operator: And our next question comes from the line of Chris Capps with Aegis. Your line is now open.
Trisha Tuntland: Good morning Chris.
Chris Capps: Yes, good morning. Chris Capps with Aegis Capital. Just a couple of follow-ups on - just quickly on China, the strength there in the existing install base. Does that tend to be leading-edge technology nodes or is it lagging? Can you tell based on the products that you are shipping to those existing install capacity customers?
David Li: Sure, Chris. So, again, you have to segment China into a few different areas. For the domestic customers, they are primarily foundry. So for example, SMIC and they tend to be two or three generations behind leading-edge player like an Intel or TSMC and they are running quite strongly. I think, SMIC is fully in HVM for 28 and working 16 today. For the international customers, for example, a Samsung or an SK Hynix that are producing memory in China, they are producing leading-edge memory in China already. So, it really depends on which segment that you are talking about and we obviously sell into both those different segments.
Chris Capps: That’s helpful. And then, you mentioned memory and obviously a driver here has been this conversion over to 3D NAND. Do you have a sense of how many of the leading memory guys or how far along are they in the conversion to HVM for 3D NAND, it was kind of the behemoth memory with the couple of the second, third largest closely behind in that conversion, but can you guys update us on how far along is, in your perception, this transition to 3D NAND?
David Li: I still think it’s in their early stages, Chris, although there are a few more customers that are in high volume. So, Samsung is clearly still the leader, fully ramped in their facility in China and also ramping in a facility in Korea. We’ve also seen other customers producing like Micron. We mentioned Micron is now our third largest customer and so they are making progress there and then the others perhaps a little earlier in the process, the SK Hynix and Toshiba. So, and in addition, we see a lot of follow-on investment, even from those that are already in HVM. So, Samsung and Micron, I know the Intel facility in Dalian is also producing 3D NAND using a Micron process. So we are still early on in that transition from our perspective.
Chris Capps: That's helpful. And then, just one more. Just on the above normal seasonality in the December quarter, in your formal remarks you mentioned that coming into the December quarter, chip inventories were a little lean, so that contributed to it partly, but given the broad-based strength in demand for your consumables, it seems like it was maybe more than that. Can you point to any one thing that you feel is contributing, or contributed to the above seasonal strength in the December quarter? Is it simply this memory transition? Or was there any sort of end-markets where you might have seen abnormal strength in the quarter?
David Li: Right, so, Chris, thanks for the question. If you look at where our focus is for our core business, it’s on tungsten, dielectrics and pads and we’ve seen really strong growth across those product segments and if you look at how they correlate to the industry for example, tungsten and dielectrics and pads as well really are a big part of both the leading-edge memory. So like, 3D that you just mentioned, as well as FinFET. So I think we are well positioned in those areas that are ramping. China is also another area that’s ramping and growing quickly and we are well positioned there. So I think that contributes to the strong demand that we’ve seen from consumables. I think we are positioned well where the industry is growing.
Bill Johnson: Just little data behind that. So, on a sequential basis, our tungsten revenue grew by 9.5%, dielectrics grew by 8.1% and pads grew by 4.2%. So well over normal seasonal trend.
Chris Capps: Okay. Thank you.
Trisha Tuntland: Thank you, Chris for your questions.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Edwin Mok with Needham & Company. Your line is now open.
Trisha Tuntland: Good morning, Edwin.
Arther Su: Hi everyone. This is Arthur on for Edwin.
Trisha Tuntland: Hi, Arthur.
Arther Su: Hey. So, the first question is on gross margins. Gross margins were strong this quarter at the high-end of your fiscal 2017 guidance range. But given your commentary for some near-term softness in IC consumables, how should we think about the impact to gross margins in the March quarter?
Bill Johnson: In the March quarter, one of the things we have pointed out was just a reminder that we typically see some higher cost in the March quarter associated with the new calendar year and we talked about that in prior calls in prior years. So for example, with the new calendar, there are merit salary increases, payroll taxes start up again and we also have our Annual Meeting in March and so the Board of Directors equity compensation mostly hits in that March quarter. So you would see a bit of headwind in gross margins and also in operating expense quarter-to-quarter. We are comfortable with our guidance on the full year of 48% to 50% revenue, but there is likely a bit of a headwind in the March quarter for those reasons. Along with the seasonal softness would provide a bit of a headwind also.
Arther Su: Got it. Thanks for that. The next question is on your dielectric slurries. It sounds like you guys are making good progress with your advanced dielectrics slurries. What are you getting from your customers that is driving demand? And how can we think about the mix of these advanced slurries going forward?
David Li: Right, so, when we talk about dielectrics, the newer products that we are seeing a lot of growth in our colloidal silica-based slurry and a ceria-based slurry, the ceria-based slurry tends to be more preferred by memory customers and so we are seeing a lot of traction there and we have several products in the market that are providing a lot of value to customers in that area. For our colloidal products, that’s a family of products that we think is really revolutionary to this dielectrics market. We believe they can target up to a $100 million of business opportunities and we’ve been talking about that for a while. That can be used by customers in memory and logic and across different wafer sizes, 200 millimeter or 300 millimeter. So, the growth we’ve seen in dielectrics is really, I think a recognition by our customers that they are seeing the performance benefits of both our new ceria which really primarily goes to memory and colloidal which is broader based and we are seeing a lot of pull for those products of full pipeline and we are excited about the future there.
Arther Su: Thanks for that. And then just the last question, how much did NexPlanar contributed during the quarter?
Bill Johnson: The NexPlanar revenue was around 55% of our total pad revenue. So total pad revenue was a little over $16 million and almost $9 million of that was based on the NexPlanar pads.
Arther Su: Great, thanks.
Trisha Tuntland: Thank you Arther, for your questions. We’ll take our next question please.
Operator: And our next question comes from the line of Dmitry Silversteyn with Longbow Research. Your line is now open.
Trisha Tuntland: Good morning, Dmitry.
Dmitry Silversteyn: Good morning, guys, and congratulations on a great start to the year.
Bill Johnson: Thanks.
Dmitry Silversteyn: Couple of questions. Number one, sort of the one product family that you have not talked about in any great length over the last several quarters and the one that’s been sort of peaked out at about $75 million, $76 million. It's been slowly trending down, is the copper and the barrier and aluminum polishing slurries. Is that sort of a - because it is a sunsetting technology or at least a flattish technology versus the growth of dielectrics and tungsten that are driven by FinFET and the 3D NAND conversion? Is it market share give ups, less attractive market, given that it’s not considered leading-edge anymore? Can you talk about sort of what’s going on with your metal polishing business outside of the tungsten market?
Bill Johnson: Yes, so that area we call slurries or polishing other metals. So, aluminum, copper and barrier, we have seen a ramp up a couple of years ago, particularly in aluminum given the aluminum gate that was in 28 nanometer and 20 nanometer logic technology. And so we saw a significant growth in aluminum, but then those kind of plateaued and then our customers captured some pretty significant efficiencies, we’ve seen the aluminum decrease and then I think now it’s relatively flat quarter-to-quarter. The other factor is that we’ve introduced some more advanced copper slurries that are more concentrated and so, higher ASP but lower volume higher gross margin percentage, but fewer gross margin dollars and those have been adopted by a few customers. So to the extent we transition from an older legacy copper to these newer copper products, and we see some revenue headwind although we are profitable. Then in barrier, we had relatively stable business there, but that’s one area where this quarter represents a decrease in barrier revenues due to a loss position on some of the legacy applications.
Dmitry Silversteyn: Okay, Bill, that’s very helpful. Thanks for that granularity, which leads me to sort of my next question. Future shrink has been a characteristic of this market and has provided repeated opportunities for you guys to differentiate yourself in the marketplace with the technology and your broad capabilities. Where do we stand these days on sort of the leading-edge feature, small feature ICs and where are your customers in terms of both sort of utilization rates on these new lines, as well as yields? In other words, if we look out three, four quarters out, can we be running into the same issue there that you seem to have run into with aluminum where enhancing yields are offsetting or enhancing yields are what's driving the IC growth but that may not necessarily be reflected in the growth of your slurries?
David Li: Yes, Dmitry, so, I think, again, you have to separate the different segments, logics, foundry and memory. For the logic and foundry area, the leading-edge customers are working on 10 and sub-10. What we’ve seen that Bill mentioned is, move away from aluminum gate at 28 20 to FinFET which is a tungsten gate, so that’s really we feel like we are well positioned there and I’d say that those - there are just one or two customers that are fully ramped in high volume for that advanced logic technology. For memory 3D we’ve talked about already on the call, but still I just comment it’s early and there are different technical challenges and requirements for 3D. So even though it may not be a shrink there are different technical challenges and we feel like we are well positioned there as we mentioned, Samsung is our biggest customer now, Micron is our third biggest customer. So, we feel like we are well positioned there, but it’s early in that transition as well.
Dmitry Silversteyn: Okay, so, if I think about, again not the next quarter, but the next couple of years, as FinFET and 3D NAND as they become more – the technologies that people are more comfortable with and the yields increase, how should I think about the slurry sales into those applications even if the market continues to grow at, pick a number, 5%, 7%?
David Li: In general, Dmitry, we feel like we should grow with wafer starts and there will always be some offset by efficiencies or pricing, but especially for the memory side, they are going to continue to advance not the shrink but the number of layers you are trying to build on a vertical NAND device. So, that technology challenge will continue to march forward and similarly for the logic, perhaps there will be some efficiencies, but they are also moving on to more advanced technologies as well. So, similar dynamic although I think memory is a little different than logic foundry.
Bill Johnson: And then, so that’s the commentary around CMP slurries based on real leadership position that we have there. Separate, we would expect growth in pads certainly is not tied to wafer starts, it would be tied to business wins and we’d expect to grow well in excess of the market in that area.
Dmitry Silversteyn: Got it Bill. And then one final question on the cash use, you got - you guys are now back over $300 million in cash on hand which was the highest point since the end of your fiscal 2015. Your share count continues to expand obviously on diluted shares and options because given where your stock price is. What are we - how should we model you are using that cash going forward and I’ll mean ploughing it all into share repurchases hypothetically, I mean, what is that you intend to do with that $305 million in cash on hand?
Bill Johnson: Yes, the cash balance is around $305 million, but on a net cash basis, it’s $151 roughly, because we have some debt outstanding. But the priorities we’ve articulated for capital deployment really haven’t changed and just as a reminder, organic investments and this year we’ll spend $20 million to $25 million at dividends and we will – with our fourth dividend payment in later on the 30th that will bring us to about $18 million in dividends in fiscal – in respect to fiscal 2016. Share repurchases have been a big factor and then M&A, M&A we list fourth really because it’s – there are not dozens of attractive actionable opportunities, but we have had and continue to have an ongoing effort in corporate development to look for acquisitions and related areas where we can leverage capabilities. And we will continue to do that. We’ve been very disciplined in it, but that continues to be a priority and things we are spending some time on as the leadership team.
Dmitry Silversteyn: Okay. I mean, you guys are generating north of $50 million in free cash, so and that's after the high spend on CapEx. So it sounds like acquisitions are not going to be a big use of cash, but basically between dividends, share repurchases, and I guess, letting cash accumulate.
Bill Johnson: Okay, thank you.
Bill Johnson: Yes, the acquisitions are sort of binary, right.
Dmitry Silversteyn: Right.
Bill Johnson: But we’d be looking for something that would be material to the company and a related area that would leverage capabilities and those – they are not a long list of opportunities, but we continue to see the industry for that.
Dmitry Silversteyn: Got it. Thank you very much.
Trisha Tuntland: Thank you, for your questions, Dmitry. We’ll take our next question please.
Operator: Thank you. And we have a follow-up question from the line of Chris Capps with Aegis. Your line is now open.
Trisha Tuntland: Hi, Chris.
Chris Capps: Yes, hey. I have to just follow-up on that capital allocation discussion. I mean, this company has generated positive free cash flow basically every year since you are public. As you pointed out, at the end of this year, probably rough math, you’ll probably have net cash of over $200 million on your balance sheet, given the free cash flow characteristics even in “spike in CapEx”, which Dmitry pointed out. You have peers one that was just created, six months ago that is levered at 2.7 times you have net cash on your balance sheet. Everybody talks about the lack of capital intensity in the business. What’s the appropriate capital structure for this company? I mean, do you think it’s right to have this much cash sitting on your balance sheet?
Bill Johnson: The approach we’ve taken and continue to take is, we like to have the flexibility on the balance sheet to enable M&A and on our history, the two significant deals we have done have been within the CMP consumable space, Epoch, the Taiwan CMP slurry company in 2009 and NexPlanar which we acquired in 2015. So we continue to look for M&A and related areas and I think we like the balance sheet flexibility that the cash balance gives us. If you look back in 2012, when we had $300 million of net cash and we didn’t have significant actual or attractive M&A opportunities, we did a leverage recapitalization and paid about $350 million special cash dividend. I think our strategy going forward is again organic investments, dividends, share repurchases and M&A and we’ll continue to look for related opportunities. If we found ourselves where we didn’t have actual opportunities, then I think we could consider other things like another special cash dividend. But no plans for that now. We continue to carry on.
David Li: And Chris, I think, we’ve demonstrated track record of returning value to shareholders, whether it’s through a dividend, share repurchases or special cash dividend, I think that’s a proven track record that we’ve shown and obviously one of the strengths of our business model as you pointed out.
Chris Capps: Where is the cash for the repatriation issues?
Bill Johnson: The total cash balance around 60% is overseas and 40% is in the US.
Chris Capps: Okay. And if I could just follow-up one on the strength you are seeing in your oxide slurry and then the colloidal-based product specifically, the strength, the adoption that you are seeing for that new product, is it right now more about cannibalizing your legacy fumed silica-based products? Or are you gaining share in that space or is it a combination of both that’s driving the growth for that product?
David Li: It’s a combination of both, Chris. So it is geared towards both the advanced and legacy applications for dielectric. Some of those positions of course are ours and so if customers are looking to gain some performance as well as a lower cost of ownership, they may choose to look at that product and that would be good with us, because it’s a lower cost of ownership, but also more of a profitable product for us then especially than some of the higher solids dielectrics products we’ve had out there in the market in the past. But also, the $100 million of new business opportunity that we talk about is not including any cannibalization of our products. So that’s going after business that we don’t have today and we are seeing a lot of interest from customers there as well. And I think just adding the combination of having a pad like the NexPlanar pad, that can also be used with that slurry as a pad in consumable – pad in slurry consumable set has also been – is also showing a lot of interest by our customers as well.
Chris Capps: Thank you guys.
Trisha Tuntland: Thank you, Chris, for your follow-up questions.
David Li: Thanks, I just wanted to make one other comment. Some of you may have seen a 13D filing from Hudson Executive Capital filed yesterday and in first it shouldn’t detract from the continued strong operating performance and results of the company. But I just wanted to comment on the filing, because, to the extent that the filing suggested that there have been extensive discussions between our company and Hudson, I wanted to make sure it was clear that that is not correct. We have had only routine conversations with Hudson of the type that we have with any of our significant shareholders and as part of any ordinary shareholder engagement program and we have not and do not intend to engage in any non-routine discussions with them. So, again, this filing from our perspective does not affect our strategy, the operation of our business or focus on continuing to create long-term value for all our shareholders and I thought it was important to point that out.
Bill Johnson: Just a little more color, Hudson has been an investor in our stock for over a year and this 13D filing was triggered by their beneficial ownership of 5% of our stock based on calculations under the SEC. Of that, less than half is directly owned and greater than half is based on call options which will expire in April of this year. Those may or may not be exercised.
Trisha Tuntland: That is all the time we have this morning. Thank you for your interest in Cabot Microelectronics.